Operator: Good day, and welcome to the DLH Holdings Corp. Fiscal 2022 Third Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Chris Witty, Investor Relations Advisor.
Chris Witty: Thank you, and good morning, everyone. On the call with me today is Zach Parker, President and Chief Executive Officer; and Kathryn JohnBull, CFO. The company’s earnings release and PowerPoint presentation are available on our website under the Investor page. I would now like to provide a brief safe harbor statement, which is also shown on Slide 2 of the presentation. This call may include forward-looking statements that relate to the company’s outlook for fiscal 2022 and beyond. These forward-looking statements are subject to various risks and uncertainties that could cause actual results and events to differ materially from these statements. Please refer to the risk factors contained in the company’s annual report on Form 10-K and in our other filings with the Securities and Exchange Commission. We do not undertake any duty to update any forward-looking statements. On today’s call, we will be referencing both GAAP and non-GAAP financial measures. A reconciliation of our non-GAAP results to our reported GAAP results is included in our earnings release and in the investor presentation on DLH’s website. President and CEO, Zach Parker, will speak next; followed by CFO, Kathryn JohnBull, after which we’ll open it up for questions. And with that, I’d now like to turn the call over to Zach Parker.
Zach Parker: Thank you, Chris, and good morning, everyone. Welcome to our fiscal 2022 third quarter conference call. I am pleased to report yet another solid quarter, particularly as we wind down our two major COVID-19 pandemic response programs; one with the FEMA, Alaska counter-measures and the NIH Infectious Disease Clinical Trials for Therapeutics. Both of these programs demonstrated DLH’s ability to surge and provide a rapid response to national threats, leveraging our emergency preparedness and global clinical research network capabilities. Beginning with Slide 3, I’ll first provide a high level overview of the quarter, starting with the top-line results. Revenue rose nearly 8% year-over-year to $66.4 million, reflecting strong demand across many of our programs and services. We are very pleased with the recent award activity and a large number of ongoing opportunities within the company, particularly as we approach the end of 2022 and we’ll soon be launching into FY ‘23. I’ll discuss the outlook more in a moment. We posted operating income of $7.1 million or 10.7% of sales, up 44% year-over-year and recorded EBITDA of $9.0 million versus $7.0 million in the third quarter of fiscal 2021. Earnings per share rose nearly 50% to $0.34 per share and we paid down an additional $9 million of debt during the quarter, ended the period with a $28.5 million debt outstanding. Our backlog entering Q4 was a solid $510 million, setting the stage for continued strong performance going forward. Turning to Slide 4. I want to show some examples of how DLH brings innovation and value to its clients across the board. I could not be any prouder of the contributions that DLH employees are making to the missions, the very critical missions of our customers. First and foremost, one of our projects was recently named a Federal Health IT Innovation Award winner, highlighting our work with the Defense Medical Logistics Support -- Standard Support and Logical Program. Here we successfully integrated several defense-self sales supply chain management systems for the Defense Health Agency. This was a great achievement that illustrates the ability of our subject matter experts to innovate through novel applications of emerging and proven technologies. Also, the DoD ESSENCE biosurveillance program positively identified the initial cases of Monkeypox, showing our partnership’s advanced research and experience in detecting health and biological threats that impact and put at risk the force readiness of our military. At the same time, within the Veteran Affairs program, our CMOP contract recently broke all-time daily production records in meeting the medical needs of our nation’s veterans. We are very, very proud and continue to be very proud of the high performance work that our team continues to provide to our veterans for almost 1/4 of a century. In addition, DLH was awarded a small but strategic contract to conduct on-site clinical monitoring for the outpatient treatment with anti-coronavirus immunoglobulin study at 8 research sites outside of the United States, leveraging an NIAID or infectious disease funded global clinical trials network. It is incredible work that puts us right in the action with the -- with regard to further reducing the evolving threats posed by HIV. And lastly, as previously announced, our Infinibyte Cloud solution received full FedRAMP authorization earlier this year. This bolsters our secure data analytics, cloud migration and platform as a service value propositions that are applicable to current and selected future clients. These are just a few examples that illustrates the differentiating of our talented experts and the tools that we apply in serving the interest of our government, the military and our service members across the nation. Slide 5 provides an overview of the many avenues supporting the future expansion, which we believe position us for many years of continued growth and solid performance. As I mentioned at the top, some of our turnkey programs have reached near completion stage, including much of the COVID-19 work in support of multiple agencies. There’s always the potential for DLH to leverage this experience and the unique capabilities acquired during this time period across other infectious disease research, including future potential health threats. Overall, our focus areas continue to align with the Federal Government’s spending priorities and some recent awards offer the opportunity to accelerate top-line growth. Besides our re-competes, we’ve announced several new contracts that position us for additional growth in the coming years that include multiple award contracts that are IDIQ in nature with a ceiling of $10 billion to provide health-related research and development and R&D support to the U.S. Department of Defense, in particular, the Defense Health Agency and the Medical Research and Development Command. This leverages our expertise in areas such as medical simulation and infectious disease research. We’re also selected as part of another multiple award IDIQ contract with a $320 million ceiling for all 5 awardees, and that is to provide support for the National Cancer Institute with clinical support and study management, positioning us to help in the ongoing fight against cancer. This has of course been a strategic objective for us to expand our business presence within HHS and the National Institute of Health. While the maximum value of both of these awards is substantial, our potential would be based on actual task orders that must be competed over time. Nevertheless, we have begun to build the strong pursuit team with added senior credentials and are thrilled to be part of such critical research where our presence and impact will be felt for years to come. At the same time, we want to re-compete on work that we’ve held since 1986 with the National Institute of Environmental Health Sciences for exacting high standard statistical analysis and toxicology research. DLH will continue to provide software programming, biostatistics and data visualization for the National Toxicology Program and the division of Intramural Research. We are very pleased to have been chosen once again for this important work as well as providing epidemiological and public health support for the National Institute of Diabetes, Digestive and Kidney Diseases to support expansion again of our chronic disease research. As we approach the end of the government’s fiscal year, agency budget adjustments typically provide further opportunity for growth. And that growth can be with contracts that often are decided at a more rapid pace to finalize various procurement initiatives. Subsequent to September 30, the outlook for our services also remains bright, reflecting generally positive demands and to transfer those demands for fiscal ‘23 and beyond. As we’ve said in the past, our innovative healthcare research and technology-based applications have strong bipartisan support on the Hill. While it is too early to say how the budget for fiscal ‘23 will play out, we’re optimistic given that our current portfolio, reputation and stature within the agencies that we serve and the ongoing need for diagnostic analytics-based approach to helping solve the nation’s many health challenges. We do suspect that certainly a continuing resolution seems to be imminent, but we believe that the budget stability and our priorities will pave the way for added growth. At the same time, we have a strong pipeline of possible corporate development M&A opportunities that could also further improve our market position and offer new pathways for our strategic expansion. And as Kathryn will share, our balance sheet remains strong and largely delever. We have every reason to think that the future will follow our long-standing formula of strategic growth and solid performance through a platform of high value-added services, which have rewarded our shareholders as well as our clients with steady returns and continued excellence in performance. I believe that the best is yet to come for DLH, and we’re excited to lead this charge. With that, I’d like to turn the call over to our Chief Financial Officer, Kathryn JohnBull.
Kathryn JohnBull: Thank you, Zach, and good morning, everyone. We’re pleased to report another quarter of solid results. Turning to Slide 7. We posted revenue of $66.4 million for the 3 quarter -- for the 3 months ended June 30, 2022 versus $61.6 million in the prior year’s fiscal third quarter. The 8% increase year-over-year reflects expansion across many of our existing programs. We believe that our recent awards and our evolving capabilities will continue to support growth in fiscal 2023 and beyond. Moving to Slide 8. Income from operations was $7.1 million for the quarter versus $4.9 million in the prior year period. And as a percent of revenue, the company reported an operating margin of 10.7% in fiscal 2022 versus 8% in fiscal ‘21. Income from operations improved due to higher revenue, improved program mix and effective management of fringe benefit cost. Interest expense was $0.5 million in the fiscal third quarter of 2022 versus $0.9 million in the prior year period, reflecting lower debt outstanding. DLH recorded a provision for taxes of 1.7 and $1.2 million during the third quarters of fiscal 2022 and fiscal 2021 respectively. We reported net income in the third quarter of approximately $4.9 million or $0.34 per diluted share versus $2.9 million or $0.21 a share last year. As a percent of revenue, net income was 7.3% for the third quarter of fiscal 2022 versus 4.7% for the prior year period. Turning to Slide 9. EBITDA for the 3 months ended June 30, 2022 was approximately $9 million versus $7 million in the prior year period or 13.5% and 11.3% of revenue respectively. The improvement in EBITDA is derived from the same factors as for operating income, of course, higher revenue with improved program mix and effective management of benefits cost. A reconciliation of GAAP net income to EBITDA is provided in our earnings statement and at the back of this presentation. Slide 10 gives an updated snapshot of our debt position at the end of Q3. As of June 30, we had approximately $28.5 million of debt outstanding under our credit facilities versus $46.8 million at the end of fiscal 2022 -- sorry, fiscal 2021. And our leverage ratio remains under 1% at 0.7x EBITDA. During the quarter, the company paid off all remaining debt from the 2019 Social & Scientific Systems acquisition. The $70 million 5 year term loan from that acquisition was retired in 35 months. We continue to use our substantial cash generation to pay down debt and delever the balance sheet, leaving us in a strong position with plenty of financial flexibility for future transactions. We anticipate being under $25 million of debt by the end of our fiscal year. This concludes my discussion of the financial statements. With that, I would now like to turn the call over to our operator to open for questions.
Operator: [Operator Instructions] The first question comes from Joe Gomes with NOBLE Capital.
Joe Gomes: Zach and Kathryn, congratulations on the quarter. So I wanted to first kind of walk through, I mean, in the presentation, you do have a business reconciliation with the FEMA results. I just want to make sure if we can go through this a little bit that we’re thinking about this the right way. In the quarter, FEMA actually had about a $5 million negative effect on revenue. So it looks like here this reconciliation that the ongoing business actually did roughly $71.6 million of revenue, which would be a 16% increase over the year ago quarter. Is that -- am I thinking properly on that or is there some other one-time items that would not make that an accurate calculation?
Zach Parker: And your arithmetic is correct. It is an adjustment, but it does net out at about 16%. Kathryn, anything to add?
Kathryn JohnBull: On the sustaining.
Zach Parker: On the sustaining, that’s correct.
Joe Gomes: So you’re underselling what you actually guys actually did in the quarter. I mean, that’s just fantastic increase from the first quarter on the sustaining business. You did about a 7% increase, the second quarter at 12% and now we’re talking 16%. I mean, just showing significant growth on the sustaining business.
Zach Parker: Well, we appreciate it. As you well know, that’s kind of our history, our norm. But we’re starting to see the fruits of a lot of the strategic efforts that we’ve built. We’ve -- I can tell you that it’s a team sport and our operators and our folks in the trenches, on the BD side are all really starting to come together. And we also benefit from enjoying a great portfolio of customers and clients that have had the ability, like we mentioned earlier, to retain their budget stability, to be able to have dealt with the challenges of the COVID-19 all hands on deck and we’re starting to see some of that recovery being reflected as well.
Kathryn JohnBull: However come, let me not -- one hand gives and the other takes away. All that is absolutely the case. And we do enjoy the benefits of strongly supported markets and increasing demand and building an increasing traction for our services as we continue to expand the array of services we offer. There is, as you know though, some degree of seasonality to our business. And so while it’s the case, yes, we had a very strong return in Q3. Some of that was a function of the seasonality, particularly on the Head Start program. And then as Zach mentioned, the wrap-up of that large COVID therapeutics trial program. So think of us on a sustaining basis as running in the high-60s, low-70s. And we’re going to bounce around a little bit quarter-to-quarter depending on some of those particular seasonal effects. But on a sustaining basis, you’re quite right, we are reaching new levels and upward and to the right.
Joe Gomes: The CFO always has to put a brake on the good news. So you mentioned the FedRAMP authorization for the Infinibyte Cloud. Zach, maybe give us a little more color or detail of what that could mean? What’s the potential market out there for that product? And when do you think you start to see the fruits of that being harvested?
Zach Parker: Great question, Joe. We’re starting to see a lot more attention coming from the agencies, particularly the federal agencies that we serve that are requiring that contractors have FedRAMP-level secure systems if you’re going to move forward in handling large sensitive data, not only in the healthcare arena, where it’s very, very sensitive health records being managed, but also from just cyber risk and general cyber risks across the industry. So we think that by having the set FedRAMP certification, it will certainly get us a differentiating capability where there will be less competition because of those that do not need it. We’re also taking a look to see if we can help position this platform to be the solution for some of the smaller businesses that do not have the ability to invest and develop this capability, yet they still want to maintain either existing work or be able to pursue work in a cost-effective way in a cloud environment for big data analytics. So we think we’re going to start to build a pipeline specific to the FedRAMP certification requirements for those agencies that treat cybersecurity and security against these kind of systems as a priority in the way they evaluate.
Joe Gomes: And on the IDIQs, I know it’s all dependent upon the specific task orders and then competing to win those task orders. Any feel for when those task orders might start coming out or any type of ramp on that? Is this something that you think you see a lot here in the next couple of quarters or is it more over a longer period of time?
Kathryn JohnBull: Well, there’s quite a long duration on certainly on the large Omnibus task order IDIQ, that’s a 10-year duration. However, the typical formula for new IDIQs is first dispositioning the work that’s transitioning off the expiring predecessor IDIQ. So the Omnibus IDIQ is Omnibus 4 following Omnibus 3. And so the natural first things in the Q tend to be transitioning of existing work, but there are emerging needs, and then of course, there are opportunities that those customers have in mind. So we don’t expect them to have immediate turn to converting to new work, but we are -- that’s what we’re in the midst of doing is identifying the market opportunities there, both from a competitive exercise through the re-compete of existing work and the expansions of scope underneath those IDIQs. The second one with the epidemiological a part of NIH, we expect to have a closer in ramp on the authorization of work. But it will follow that same pattern of transitioning existing work coming off of all the programs that were aggregated within the scope of that IDIQ. But on the other hand, we are already hearing from that customer about additional scopes and additional work that they expect us to put out for competition. So -- and of course, that pool of competitors is only 5 companies. So we’re quite excited about the close-in opportunities from that IDIQ.
Joe Gomes: I just will once again talk about the VA contracts. I think they’re through the fall of this year. Any update on those contracts?
Zach Parker: Yes, Joe. We know that, as we have stated before, the VA will set their acquisition strategy, get their team in place to do the procurements. They’ve provided some indications that they have started to address how that’s going to come out. But given the history of what we have seen historically, we’re pretty optimistic that we’ll be probably looking at a year’s worth of extension so that they can get a set of RFPs out on the Street, get proposals submitted, get the valuations done and to move towards a final award decision. Historically, that generally has been easily a 12-month cycle, and we’ll see how it goes in the future. So we’re pretty optimistic that we’ll see something beyond this fall, given that we’re getting ready to approach a new fiscal year.
Joe Gomes: And on those, the previous one they talked about, a small I think veteran-owned business. Any more or any indication of whether they’re just going to open it up to everybody or do you think any indication that they would be looking once again to award it to a veteran-owned business first?
Zach Parker: Well, there’s always a preference for small businesses. Of course, they have solicited both of these contracts in that environment and reached the conclusion thus far that it was not in the best interest of the government to be able to have this exacting standard high mission critical kind of work done by the small business community. Now having said that, acquisition strategies can evolve. We have seen indications that they’re continuing to look at other approaches. We stand at the ready to -- and believe that we’re well positioned to continue to provide it in an unrestricted and a prime arena. But should that not be the case, we’ll consider alternative approaches as well. So we’re pretty optimistic that we’ll be in this game and hopefully still as a prime in an unrestricted environment. But you can’t tell until these procurement cycles actually unfold.
Joe Gomes: And hopefully, the fact that you’re handling record levels of orders and you’ve done such a great job on this in the past plays in your favor on that?
Zach Parker: Yes, there’s a lot of lot of dynamics -- go ahead.
Joe Gomes: Go ahead, Zach. I’m sorry.
Zach Parker: Well, I was just going to say, yes, there’s a lot of dynamics there. And we’ve continued -- even though we’ve had these short bridges of less than a year, we’ve decided and continue to now invest in next-generation approaches to executing on the CMOP mission. I think the customer sees that. I think obviously the productivity records and the production records that we are seeing are indicative of our shared commitment to quality and performance and continuing our tradition of being one of the top one or 2 performers as rated by J.D. Power. So we’re excited about what we think the future holds and we’ll continue to further invest in being the great provider to take care of our veterans.
Joe Gomes: And then one last one for me. On the debt paydown, obviously, you guys just continue to knock the cover off the ball there. If things continued along the same path that I would expect you guys just about be debt-free by the end of next fiscal year. But this seems to be the time when we see an acquisition announcement from the company. So just wondering how is the M&A pipeline looking today? What’s the kind of the multiples you’re seeing out there? Are there more -- are you more comfortable with the multiples or they’ve come down some here given the change in the economy? Any additional insight you might be giving us on potential M&A activity?
Kathryn JohnBull: I definitely appreciate that question. We -- as we expected and I think as we signaled on our call a couple of quarters ago, it was quiet certainly in the first part of the calendar year as I think everybody sort of recovered -- all the investment banks recovered from their breakout 2021. So quiet in the first quarter of the calendar. But as expected, volume has begun to really pick up nicely and there is a very nice and robust pipeline of opportunities that we are aggressively pursuing and evaluating. So I’m encouraged to see things wake up again and to see us get an opportunity to get at bad on some really -- things that would really extend our offerings and continue to build us into a stronger company with more relevant in the marketplace with additional technology capabilities as we’ve talked about. So in terms of multiples, they might be softening just a little bit, easing up a little bit as compared to ‘20 and ‘21, not dramatically so in a way that I feel like we’re going to get the bargains that we got back in the ‘15, ‘16 timeframe. It’s not going to -- I think we’re ways away from that. But we are improving slightly on the margins as people, as you said, think about the overall economic indicators and acknowledge those a little bit in their multiple expectations. But it’s still a highly competitive and pretty frothy market from my perspective.
Operator: [Operator Instructions] Our next question comes from Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger: You talked about a few new programs. Can you first comment on your ability to hire professionals to meet new project requirements? And then in this inflationary period, maybe compare compensation for either new hires or comparable to a year ago?
Zach Parker: No, great question. As you probably know and heard me talk about before, I think that one of the more unique challenges that we’re facing over the last year and in the near-term future is this -- the threat of the great resignation and the ability to find and retain top talent. We under the leadership of our relatively newly hired Chief Human Resource Officer, Maliek Ferebee, we’ve really focused heavily on the ability to retain our workforce as well as to be able to attract workforce given the threats that we’re seeing out there. We’ve started to have some good traction. We’ve put in some new measures, implemented some new measures over the last quarter or 2. We’re starting to see some of that pay off. We are actually doing I think better than most of the industry from my engagements with the rest of my GovCon folks. But we’ve still got a lot of work ahead. It’s a different environment today to be able to attract and retain top talent. And there’s a bit of scarcity of resources in that regard because a lot of the newer generations are looking more at the gig work environment and we’ve got to find ways to attract them into our places. So it is a threat. It’s one that I’m really pleased to say that with our new leadership and approaches across our operating units, we’re holding our own and feeling that I think we’ve weathered some of those storms. Some of that also was exacerbated by COVID-19, particularly in programs such as some of ours where you have to go into facilities and have to come to work in an environment that had different degrees of risk and many regulatory requirements in our space. A number of our agencies required that you had to get vaccinated and certainly less than 100% of our workforce was amenable to that. We kind of reflect the national demographic. So we’re going to continue to apply force on target for this threat. It is front and center for us. And I’m pleased to say that early results are positive.
Brian Kinstlinger: 16% organic growth is solid. I’m curious, as a follow-up though, has the challenges in hiring and retaining curtailed in any way revenue? Meaning, you couldn’t fill certain positions so maybe certain revenue is not ramping as you expected? And then also, what is your voluntary attrition rate?
Zach Parker: Well, we don’t publish a rolling voluntary attrition, but I can tell you that the industry norms -- we’re kind of a hybrid organization. The industry standards used to be about 17% in our professional workforce for government contracting. In our industry, if you work with organizations such as professional services, console and in DIA, you’ll find that it’s been almost double that over the last year and a half to 2 years. And I’ve heard some of our Tier 1 companies having turnover in the professional workforce exceeding 40%. I can tell you that we’re not that high. We’ve actually uniquely done very, very well and still in the professionals arena below 20%. And in the production manufacturing kind of environments, et cetera, there are different metrics, and we’re beating industry standards there too. But we have certainly suffered some blows in the last year and year and a half or so due to the combination of COVID and the great resignation. There have been gaps in our ability to deliver revenue, but that too is a key and high priority of what we’re doing in our human capital management. All of our managers have just come out of one of our sessions on making sure that we’re applying some novel methods, leveraging, meeting some of the candidates and more social media means than the historical means of recruiting and really jumping on that so that we can deliver the revenue, deliver the expertise that our clients demand and need as well as have the resources available to meet the fill rate requirements to ensure that we’re able to meet the exacting demands of the prescription environment for our VA customers. So a lot going on there. We do hope that -- to your point, that our ability to fill these positions will generate additional revenue as well.
Kathryn JohnBull: And I would just add to that, Brian, that the competition for talent has for us, even pre-pandemic, always been fierce as we’ve been working to navigate up and to compete with those household name companies you think about. And then if you think about the disciplines that our team comes from, these are public health professionals, scientific research professionals. So those people are more -- now more so than ever in high demand. And so really what differentiates us I think is number one, we’re absolutely focused on -- at the same time that we’re fiercely competing for talent, we’re focused on moving the needle on our contribution of the amount of the work that is delivered by direct labor of our team versus building subcontractors into our efforts. So that’s an important metric for the company and we’re making good progress against that, notwithstanding the competition for talent. And that happens when you build capabilities, when you get opportunities to do work that people are committed to and they really want to take that entrepreneurial lead on really servicing those clients. So I think we have some -- we have the benefit of being able to be on the move, building momentum and people see that and get excited about it. It doesn’t mean that we can take our eye off the ball in terms of keeping -- making the employment environment competitive and attractive for the resources that we’re competing for.
Brian Kinstlinger: I’m curious, we’ve had a short period of time where we’ve had budgets in place before maybe what’s coming, continuing resolution. But can you talk about, from a high level at least, the bookings trends over the last 9 months compared to the previous 9 months? And how do you think that will be impacted by a continuing resolution?
Zach Parker: No, great question. I do think CR seems to be the default in the last decade for us. And while there is some paralysis on the Hill that exacerbates that problem a little bit for us, particularly in the federal government space, we are starting to see some movement. As you indicated, some of the bookings that we’ve been able to identify recently. I can tell you that we’re now having probably more proposal development activity than we’ve seen in a while for some things that are, for us at least, pretty strategic that have taken a couple of years on the come. So we’re pretty optimistic that in the areas that we’re focused on, it’s not across the board in our industry, but certainly in the areas that we’re focused on, we’re starting to see some new programs as well as some recurring programs with some evolution start to come before. So the indication -- the leading indicators are the pipeline of those opportunities will be pretty healthy to impact ‘23 and FY ‘24 pretty well.
Brian Kinstlinger: I guess lastly, as I look at your businesses between the VA, Health and Human Services and DoD, as you look at your pipeline of opportunities, is there one that sticks out of where you see the biggest growth opportunity or is it pretty evenly split across the board?
Zach Parker: That’s a great question. You probably heard us, Kathryn and I say either on the Trade Hall or earlier in the quarter that we are expanding our aperture for our growth -- for our strategic growth strategy. And in saying that, HHS, DoD and VA are going to continue to be coveted customers. But we have a range of expansion we believe we can do within those agencies. And just as importantly, our focus organically and even acquisitively, is expanding now to leverage the competencies that we’ve built with the execution of our last 5 year strategy. So we now have strong digital transformation skills. That covers not only cyber, but security, data analytics and a pretty intensive robust systems engineering and integration capability that includes modeling and simulation. We can take those now to places within those agencies, but more importantly, we can take those into other Civil and DoD agencies that are not as heavily focused on health. And we think that those will continue to be areas that we can leverage. Certainly, differentiators, such as our global clinical research network, our FedRAMP platform as a service solutions and things of that nature are going to be key components of taking the investments that we’ve internally invested in to build those capabilities, while at the same time, bolstering some of our technology-enabled approaches to those customers. So yes, those will still be very good agencies for us. We still see a range of opportunities to expand within NIH, within the HHS domain. We put out there before that we think cancer is a good growth area for us. And the DCEG win, we think is one of a few that will get us there. The behavioral health arena that we’ve talked about is also still one that is right for growth we believe, especially given everything that’s been happening as a result of symptoms from the COVID-19, from depression, suicide prevention, substance abuse as well as on the battlefield with the expansion of TBI and PTSD and other behavioral health scenarios. So we’re going to continue to invest in those areas as well as see where we can take our pieces of the C4ISR capabilities that came with our workforce in Fort Detrick under the IBA acquisition. So we’re pretty excited about the diversification now of our portfolio now that we’ve got a strong foundation to build upon. And so we can start to add depth and capabilities as well as breadth in our target markets.
Operator: At this time, there appears to be no further callers in queue. So I’ll turn it back to Mr. Parker for any closing remarks.
Zach Parker: Well, thank you very much. And I would just like to thank you all for your attention and your continued interest in DLH and our quarter 3 results. We look forward to chatting with you again next at our fourth quarter report out, and subsequently, our annual report to the shareholders. So thank you very much. Have a blessed day. Bye for now.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.